Craig Marshall: Well good morning, everyone. I'm Craig Marshall, BP's Head of Investor Relations and thanks for joining us today. I've got Bernard, Murray and obviously myself here today. We've got a slightly extended presentation. In a moment I'll hand over to Bernard to introduce and cover the full-year highlights. And then to Murray he'll take you through our fourth quarter results. Then we'll turn to strategy. And Bernard and Murray will update you on the progress and financial frame. And then following that, we'll make sure we've got plenty of time for the questions, which I'm sure you'll all have. Before we began, as usual, I'd like to draw your attention to the cautionary statement, which is included in the presentation slide deck. During today's presentation, we will make forward-looking statements, including those that refer to our estimates, plans, targets, aims and expectations, actual results and outcomes could differ materially due to these factors. And those noted in our cautionary statement, as well as in our U.K. and SEC filings. Please refer to those filings which are available on our website for more details. On that note, over to you, Bernard.
Bernard Looney: Great. Well, thanks, Craig. And good morning to everyone joining us on the phone and on the web. And of course, I'm also delighted that we're able to host a small audience here in-person in St. James this morning. And that includes my leadership team, with the exception of Anja, who will join us on the 1st of March, which we're all very excited about and have to say. We do have Joaquin here, Joaquin stand up for a moment, Joaquin runs our Gas and Low Carbon business in the meantime, until Anja arise. Also want to introduce and is doing a brilliant job by the way. I wanted to introduce two new members of the team. Leigh-Ann Russell, who takes over from David Eyton, who is leaving the company after 40 years, and Dominic and Emeka, where is Emeka. Emeka, who takes over from Dominic Emery, who's also leaving the company after close to 40 years. And all of those moves take effect on March the 1st. And for those of you who are on the web, you can see the team on the slide here. Murray, I think that's a very smiley photograph of you, that's full on smile, that one. The last time we held an in-person event was two years ago. And actually, I was just remarking this morning, this is actually my first time doing a results call in-person in my new role. So it's amazing how time has passed. And it's hopefully a sign of progress and a sign of confidence in the future. And I promise it won't take as long as we did at BP week. So we will come back to that later. Now in the two years since laying out our ambition, our new ambition, we've been through obviously a period of significant change. And at the same time, the world around us has changed as well. COVID, volatility in the energy markets, and of course, the accelerating energy transition. And with this backdrop, it felt like it would be a good time to pause just for a moment and reflect on the journey so far. And the BP that we see today is a company that has successfully we would argue completed a period of significant change, one that sees clear and compelling growth opportunities presented by the transition, and one that is 100% focused on delivering the plan that we have laid out and what you know by now we call performing, while transforming. Before we get started, we love a video or two. We're going to show a short video just to share some of the highlights with you. So over to the video.  So I think it's pretty cool in my language to see what we've delivered. And it's the team around BP that has delivered it. And to think that that was done virtually most of it. And during a pandemic, is I think it's extraordinary. And I hope it gives you a little confidence, some confidence in our ability to get stuff done. So let's get into that in a bit more detail. Starting with the full-year results for 2021. We delivered underlying replacement cost profit of $12.8 billion. We delivered operating cash flow of $23.6 billion, including a working capital build of $5.3 billion, and we delivered return on average capital employed of 13.3% the highest level for a decade. In addition, we delivered our target of $2.5 billion a cash cost savings on a run rate basis relative to 2019 ahead of schedule six months ahead. We reduced our net debt by over $8 billion seven quarters in a row of net debt reduction. We raised our dividend for ordinary share in the second quarter by 4%, including the 1.5 billion share buyback that we've announced today. We will have delivered share buybacks from 2021 surplus cash flow, totaling $4.15 billion. Next to our progress in transforming BP. Since we announced the strategy to become an integrated energy company, we've been building momentum across each of our three strategic focus areas. In resilient hydrocarbons, we started up 11 major projects since the start of 2020, thereby delivering our 2016 target some of you will remember us talking about this with Gordon in Baku actually in 2016. Our target then was to bring on 900,000 barrels a day of new high margin production. In convenience and mobility, we've grown margin share from convenience and electrification by 4% since 2019, demonstrating the strength of our customer offers and increase the number of EV charge points to over 13,000 across the U.K., Europe, India and China. And finally, in low carbon energy, we have entered offshore wind with a pipeline of 5.2 gigawatts net to BP today. Following the recent Scotwind lease option award. We built a renewables pipeline, which at the end of 2021, stood at 23 gigawatts net, a four-fold increase since the end of '19. And we've made exciting progress in hydrogen, having grown a hopper of between 0.7 and 1.3 mtpa. Progress like this, as well as the pace at which the world is moving, leads us to believe that we can accelerate our plans in some areas, and reinforces our confidence in delivering our 2025 targets. But before we get into the detail around that, let's bring in Murray, who is chomping at the bit over there to go through our fourth quarter results. Murray over to you.
Murray Auchincloss: Great, thanks. Thanks Bernard and good morning everyone. Nice to see all of you in-person finally. As usual, I'll start with the macro-environment. During the fourth quarter, Brent rose by 8% to average $80 per barrel, its highest level in seven years. To-date in 2022, Brent has moved above $90 with supply disruptions, easing concerns around Omicron and the expectation of continued declines in inventories. Looking ahead, we expect supply and demand to move back towards balance through 2022. However, with lower levels of spare capacity, price volatility is likely. Turning to gas, during the quarter seasonal demand saw Henry Hub rise by 10% to an average of $4.70. International prices rose sharply with NBP and JKM around 90% higher than in the third quarter. This was caused by low inventory levels and concerns about the availability of supply during the winter months. With ongoing geopolitical uncertainty and low storage levels, we see the potential for continued price volatility. Turning to refining, industry margins remain broadly flat compared to the third quarter and we expect them to remain at similar levels during the first quarter. Local margins may and are being impacted by lockdowns. Moving to our results. In the fourth quarter we reported an underlying replacement cost profit of $4.1 billion, compared to $3.3 billion last quarter. Compared to the third quarter, and gas and low carbon energy the result benefited from higher gas realizations and higher production due to major project ramp up. After an exceptional first nine months, it was an average quarter for gas marketing and trading. In oil production and operations, the result reflects higher liquids and gas realizations. This includes the benefit of very strong NBP prices. The result also reflects higher production including a recovery in the Gulf of Mexico from the impact of Hurricane Ida. And in customer and products, the products result was impacted by significantly lower oil trading results and higher energy costs. The customers result reflects resilient retail and convenience performance despite seasonality and COVID-19 impacts. In Castrol volumes were higher, although results continued to be impacted by higher base oil prices and additive shortages. For the fourth quarter BP has announced a dividend of $5.46 per ordinary share payable in the first quarter. Turning to cash flow. Operating cash flow was $6.1 billion in the fourth quarter. This included a working capital build of $2.2 billion. Capital expenditure was $3.6 billion for the fourth quarter, and disposal proceeds were $2.3 billion. This includes $1.5 billion related to the sale of our Alaska business to heel court in 2020. With proceeds of $7.6 billion received during 2021. We have received $12.8 billion of proceeds against a target of $25 billion by 2025. Strong cash flow generation enabled us to deliver surplus cash flow of $3 billion in the quarter and $6.3 billion for the full-year. This underpinned a further reduction in net debt and supports our continued share buybacks. During the quarter net debt fell for the seventh consecutive quarter to reach $30.6 billion at year end, a share buyback of $1.752 billion was executed. This included the $1.25 billion announced with third quarter results and $475 million to complete the program announced with second quarter results. And we intend to execute a further $1.5 billion share buyback prior to announcing first quarter 2022 results. Now let me summarize the progress made during 2021 against our frame. We have a clear set of priorities. First, a resilient dividend. We announced a 4% increase in the dividend per share with second quarter 2021 results. Second, a strong investment-grade credit rating. During 2021, we achieved our $35 billion net debt target around a year earlier than expected and reduced net debt by over $8 billion. Third, disciplined investment allocation. 2021 capital expenditure was $12.8 billion, including in organics in line with guidance of around $13 billion. And fourth, share buybacks. For the year, we announced $4.15 billion of buybacks from surplus cash flow. That takes us to total amount shareholder distributions of $8.4 billion for the year around the level of the annual dividend distributions in 2019. I'll update you on our 2022 plans shortly. But for now, back to Bernard.
Bernard Looney: Okay. Thanks, Murray. I'm going to speak for about half an hour to go through a strategy update. So just getting you situated in your seats. Before handing back to Murray. And he'll cover the financial frame for about five, six minutes. And then I'll close and then we'll move to Q&A. So let me turn to our strategic progress. And we now have two years, believe it or not under our belt. And we've made progress on our 2025 targets. And we are increasingly confident not just in those targets, but in the opportunities presented by the energy transition. And before we get into the detail, let me remind you of that strategy, which I would add remains unchanged. It is importantly, a three part strategy. Part one is resilient hydrocarbons. Part two is convenience and mobility. Part three is low carbon energy. Embedded across these is our sustainability framework, which sets out our aims for getting to net zero. Improving people's lives and caring for our planet. And binding it all together is integration, harnessing our collective capabilities as the energy system transitions to help more and more customers get the clean, reliable and affordable energy that they want. And in doing so, create value for our shareholders. And we sum all of this up as BP transforming from an international oil company to an integrated energy company. And I would say, I think we have already made significant progress on this transformation. It's important to set this in context. So if we look back year one, we set out a new direction, a new purpose, a new ambition, a new strategy, a new financial framework, a new sustainability framework, and a new leadership team. That's done. That is now done. Year two 2021 was about change, and the largest restructuring in our company's history. So that we are organized to deliver that is now done, completed. With all of this now behind us, the decks are clear. Year three, and every year from now on is focused on one thing, and one thing only, delivery, the safe, efficient and disciplined delivery of the plans that we have laid out. And maybe our biggest takeaway from our experience thus far, that as we transform, we must perform. Our shareholders expect and deserve nothing less. And I hope our results show that we are doing just that. Now, I'll be emphasizing six points today. And that was point number one, the direction is set, the change is done. It's behind us. And we're focused on one thing, and that's delivery. And we will cover these points throughout the presentation. But let me briefly summarize them. Point number two is that we have confidence in delivering our 2025 financial targets. This is underpinned by resilient hydrocarbons, where we expect to sustain EBITDA through '25 at around $33 billion. Convenience and mobility where we expect ratable EBITDA growth to around $7 billion. And our discipline financial frame, including annual capital expenditure unchanged at $14 billion to $16 billion with at least 40% to be invested in the transition by 2025. A commitment to return at least 60% surplus cash through share buybacks subject to maintaining a strong investment-grade credit rating and a resilient and growing dividend. And as a result, we remain on track to deliver what we said. A 7% to 9% EBITDA per share CAGR. 12% to 14% ROACE and at least 20% of capital employed in the transition. Additionally, we aim to continue to grow EBITDA to 2030 and we plan to do this by sustaining EBITDA from resilient hydrocarbons, continuing ratable growth in convenience and mobility and aiming to deliver $2 billion to $3 billion contribution from low carbon energy. So turning next to point three. We aim to sustain EBITDA from our hydrocarbons business through 2030. We will do this by high grading our oil and gas portfolio growing the underlying contribution from refining and deepening our investment in bio energy. Point number four. We aim to deliver between $ 9 billion and $10 billion of EBITDA from transition growth businesses by 2030. That's up from about a billion dollars today. And that will be driven by five transition growth engines. Bioenergy, convenience, EV charging, renewables and hydrogen. And you can think of them as non-fossil and in high growth sectors. In each of these areas, and this is what I am increasingly excited about. But in each of these areas, our experience, our skills, our networks, our brand, our assets, gives us real competitive advantage. Capital expenditure invested in the transition is as I said expected to be over 40% of total spend by 2025, rising to around 50% by 2030. And this leads to capital employed in transition rising from over 20% at 2025 to around 40% by 2030. And then on the chart, you can see the returns that we expect from each of the growth engines. All of this within our existing $14 billion to $16 billion frame. Point number five, we're now aiming for net zero emissions across operations, productions and sales by 2050 or sooner. Sales will now include traded and marketed energy products. Finally, point number six, we will remain focused on the disciplined application of our financial frame, providing compelling shareholder distributions while continuing to strengthen the balance sheet and remaining disciplined in our capital expenditure. The framework is unchanged, and Murray will come back to it later. So with these six points as context, let me turn then to progress across our strategic themes and starting with number one, which is resilient hydrocarbons. Here, we plan to high grade our portfolio, lower our emissions and drive higher returns. We will do this through three focus areas oil and gas, refining and bioenergy. And before I turn to each, let me take you through some of the strategic highlights to date. As I said, since the start of 2020, we've delivered 11 major projects, bringing the total to 35 since 2016 executed on average, on schedule and around 15% under budget from that target, we set back in Baku, and there is more to come with four startups expected during 2022. Through 2021, we have driven competitiveness through portfolio decisions. We've maintained reliability and availability in the face of what I think Gordon would describe a challenging operating environment. We've reduced the non-productive time in our drilling and completion operations by 20% over that time period, and we have embedded our single operating model with around 7,500 people now deployed in agile structures fundamentally changing how we work. For example, this single operating model helped with our approach to planned turnarounds. In 2021, the first year that these were managed globally across oil, gas and refining, we deliver 26 planned turnarounds, on average under budget and with a production impact lower than planned and we're in action on emissions, for example, further reducing our Permian methane flaring intensity to a record low of around 0.6% in December, that's down 95% from when we acquired the assets in 2018. We expect to sustain EBITDA from resilient hydrocarbons at around $33 billion through 2025 and thereafter, we now aim to maintain EBITDA in a range of $30 billion to $35 billion until 2030. Now with our nominal -- with our 2030 nominal oil price assumption broadly flat versus 2021 $71, this is driven by three factors. We aim to grow underlying EBITDA from oil and gas, we aim to grow the underlying contribution from refining, and we aim to deepen our investment in bio energy. So let me take each in turn. In oil and gas, we have continued to have a deep and high quality resource base of 30 billion barrels of oil equivalent and that allows us to choose the best investments, we have a disciplined capital frame for oil and gas of around $7.5 billion per annum through to the middle of the decade. In allocating this capital, we look for paybacks of less than 10 years for oil, 15 years for gas, so that we can select the highest quality options as we focus on cycle time. And we are confident in the value and the resilience of this investment plans for the following reasons. It leverages existing assets around 70% of the spend will be on existing hubs typically lower risk and higher quality, higher returns. It holds managed based decline in a range of 3% to 5%. It is capital efficient, with an average point forward development costs of around $9 a barrel compared to a 2021 unit DD&A of $15 a barrel. We aim to manage our R/P ratio down to around eight years by 2030 and it is focused with 80% of the capital spent in just six regions. This investment plan holds underlying production broadly flat through 2030. Now the depth of our resource base provides flexibility by 2030, we aim to high grade over the next nine years high grade around 700,000 barrels a day of oil equivalent per day relative to 2021 and the margin on these barrels is lower at an average actually less than $20 per barrel. And this has expected us to allow realized additional value through the divestment of those assets, which I would add we are not in a rush and we plan to continue to drive cost efficiency while maintaining safety and operational Integrity, realizing synergies through the single operating model that I discussed, our relentless focus on digital and our adoption of agile work structures that Gordon is leading, we plan to drive unit production costs to around $6 per barrel by 2025 and we aim to hold them at this level through to 2030. And this is expected to result in a high quality, highly focused portfolio with 90% of the EBITDA in 2030 coming from six regions, and an improvement in unit margins relative to 2021 of more than 20% improvement in unit margin by 2030 relative to '21. In refining, we aim to deliver around $2 billion of EBITDA, underlying EBITDA growth by 2030 relative to '21, this is excluding bio fuels, which I will come to. Of this around half is expected to come as demand recovers with COVID impacts easing, supporting an increase in realized refining margins, and the remainder is expected to be delivered by our business improvement plans focused on three areas. First availability, we're on track to deliver over 96% Solomon availability. Our turnaround improvement plans have already delivered improvements and we expect the impact of the higher maintenance and activity in 2021 to reduce over time. Second, cost efficiencies we plan to deliver Solomon second quartile or better non-energy costs, which is a competitive position given our refinery configurations, while all the time keeping a rigorous focus on safety and operational integrity. And third flexibility in yield improvements, for example, when I was there last year through investments in Cherry Point Hydrocracker improvement project, and other investments in the U.S. Midwest. In addition, we remain focused on high grading the portfolio through either conversion, consolidation of less advantaged units, or indeed divesting where it makes sense. And together these points, underpin our target of delivering top quartile Solomon net cash margin by 2025. Turning to bio energy, this is the first now of our transition growth engines. The market backdrop is strong, BP's Energy Outlook, our rapid transition scenario shows biofuels growing by an average of 6% per annum to 2030 with sustainable aviation fuels SAF and biogas growing significantly faster. We aim to deliver around $2 billion of EBITDA by 2030, around half driven by the production of biofuels from feedstocks that meet applicable sustainability standards, and around half driven by biogas and other trading opportunities. Let me start with biofuels. Our refineries operate in regions where we expect to see strong growth in demand and our manufacturing processes are well positioned to adapt to this, we already produced more than 5,000 barrels per day of biofuels at three of our refineries through bio co-processing, and we aim to triple that production by 2030. across these sites. We plan to invest in five major biofuels projects, including three adjacent to existing refineries, and we aim to convert up to two of our refineries to bio refineries. This focus on leveraging existing infrastructure, logistics, scale and customer relationships is expected to create real capital efficient growth. Turning to biogas, this is a sector that we're increasingly excited about. It is capital light. It is highly modular and capable of rapid growth, it can achieve very low carbon intensities. It creates value for BP through strong integration and trading, and it delivers high returns and very fast paybacks through our co-marketing agreement with Clean Energy Fuels. In the U.S., we're already the largest supplier of biogas in the U.S. to heavy duty fleet customers and we recently here in the U.K. acquired a 29% stake in Gasrec, and they're a major provider of biogas to heavy goods vehicles here. And we plan to retain our leadership position in the U.S., expand in the fast growing European market and we aim to scale equity production around 20 fold to over 10,000 barrels a day by 2030 and through additional offtake we expect further margin capture. That was resilient hydrocarbons. Strategic theme number two is convenience and mobility. Now, Emma has got this business. Here our aim is to double EBITDA by 2030, while sustaining returns of between 15% and 20% and it's all through a focus on customers. And our growth is driven by the following, is driven by our differentiated convenience and fuels offers and selective growth market expansion, is driven by the acceleration of our EV charging ambition across key markets, and is driven by the contribution from Castrol, aviation, B2B and midstream. And since we outlined our strategy, our capital allocation plans have changed in two areas. First, we are tightening our expansion in growth markets and second, we are accelerating our EV charging ambition. This slide shows just some of the examples of the progress that we have made, which I will highlight when I cover these businesses and it is this strong delivery I think that gives us confidence in the future. Now as a reminder, we expect to deliver around $7 billion of EBITDA by 2025 and we aim for around between $9 billion and $10 billion by 2030 with returns of 15% to 20%. The businesses have remained resilient, very resilient during the pandemic and we expect COVID impacts of more than $600 million in 2021 to reverse over the coming years and we expect EBITDA growth to 2030 to be split across the three businesses shown on the chart. Our convenience and fuels business along with Castrol are ratable and they drive most of the growth through 2025 and then it's EV charging that drives more of the growth in the second half of the decade. So let me outline our plans in each of our business areas. And I'll start with convenience and fuels retail. Convenience is the second of our transition growth engines. It is a material business, and in 2021 delivered a record 1.5, a record $1.5 billion gross margin more than 20% growth in just two years through the pandemic. And we aim to continue to grow at around 7% per annum. We're confident in this growth, because we aim to further expand our convenience, our strategic convenience network to around 3,500 sites by 2030, it was 3,000 having already added 500 sites since 2019. We continue to see increased basket sizes which does as it says on the tin. And we have taken full ownership of Thorntons in the U.S. and we have extended our partnership with Marks & Spencer in the U.K. through the end of the decade. And our convenience offer builds on a strong and material retails fuels business. We have a great network of sites in established markets, which generally sell more fuel than the industry average with strong trusted brands like Amoco and Aral, we have premium fuels that generate around double the margin of our regular fuels in many markets. And we have differentiated digital offers and loyalty schemes. For example, our BPme app customers have grown threefold over the last two years since 2019 and these customers typically spend twice as much as another customer. We now aim to expand our presence, expand our presence in growth markets to over 6,000 sites by 2030 which will be primarily driven now by our successful Jio-bp joint venture in India. So turning to EV charging, the third of our transition growth engines and we aim for this business, very exciting business I have to say. We aim for this business to deliver more than a third of our overall EBITDA growth from convenience and mobility to 2030. We're accelerating our EV charging ambition that's what we're seeing today across key growth markets through a focus on on-the-go charging and fleets. For on-the-go charging, Murray I think we're getting to be experts at this stage Murray almost, almost customers want fast, convenient, reliable and seamless charging, integrated with leading convenience offers and services. And we're confident that we can succeed in this space for three reasons. First, we have an advantage retail and convenience network in our key focus markets. In the U.K. and Germany, for example, we have established a leading presence with more than 90% of the population live within a 20 minute drive of our stores. In fact, 550 million customers live within 20 minutes of a BP store today. Second, we're focused on rapid and ultra fast charging, and that drives higher utilization and therefore drives higher margins. And third, we expect to invest in digital technology and the strategic partnerships we expect that to drive up utilization and increase the footfall at our convenience stores while you're getting a charge. And overall, we aim to grow our network now to more than over 100,000 EV charge points and to increase our energy sales, this will become a key metric for those sites by more than 100 fold by 2030. Our second focus area is fleets and we think this has enormous growth potential for BP. We have a material fleet business with customers who we aim to support as they want to transition, all these fleets want to transition and they want someone to help them. We can do that. We already provide dedicated fleet solutions, which includes hardware, software and other services. And our acquisition of AMPLY Power has accelerated our entry into the U.S. which is one of the fastest growing fleet charging markets in the world. Now taken together, these plans give us confidence in aiming to deliver 50% margin share from convenience and electrification by 2030 that's up from 30% today. Turning finally to Castrol, aviation, B2B and midstream. Here the three drivers of growth are as follows. First, we aim to grow Castrol revenues to more than $8 billion by 2030. And we'll do that through expansion and growth market, including in India, where Castrol is the number one brand, extending our Castrol branded service and maintenance offers globally and providing market leading offers in EV fluids, more than two-thirds if you can believe it, more than two-thirds of major OEMs have approved Castrol on as part of their factory fuel. Second improving Castrol profitability through a focus on cost, cost efficiency, simplification, digitization and optimization of its manufacturing footprint. Third, growing aviation, B2B and midstream by leveraging our strategic relationships with major airlines and airports, established position in SAF where we aim to be a sector leader with 20% share of supply and continued growth in our bio brownfields business. Summing up these steps give us the confidence in our ability and our aim to deliver $9 billion to $10 billion of EBITDA from convenience and mobility by 2030. Hope you're all still with me. Strategic theme number three is low carbon energy. Our focus on returns and building scale with capital discipline is unchanged. We're aiming to create integrated low carbon energy hubs enabled by our last two transition growth engines. First, renewables we aim to build a leadership position in offshore wind and accelerate our solar growth through Lightsource BP and BP's U.S. solar pipeline and we remain confident in achieving 8% to 10% returns that are levered. Second is hydrogen. Here we aim to leverage BP's existing refinery demand to build regional supply positions and as hydrogen markets develop, we aim to create a portfolio of globally advantage supply hubs and we aim to capture a 10% share of core markets by 2030. Over the past two years, we've made real progress in offshore wind we grew our pipeline from zero to over five gigawatts net in two core markets through our partnership with Equinor in the U.S. and EnBW in the U.K., in solar, Lightsource BP has increased its pipeline from 1.6 gigawatts when we did the investment in 2017 to 20.6 gigawatts and they've progressed 53 projects to FID at a weighted average expected returns of 8% to 10% prior the firm. And we are achieving significant milestones in building our hydrogen and CCS businesses, we successfully increased the size of our renewables project pipeline to 23 gigawatts net to BP and we've got a material hopper of early stage renewables and hydrogen projects. Our capital investment in these businesses is growing, we spent $1.6 billion here in 2021 and we expect to between three -- to invest between $3 billion and $5 billion per annum by 2025, rising to $4 billion to $6 billion per annum by 2030. We're rigorous in evaluating opportunities, rejecting a lot, Murray, and selecting only what we see as the very best projects. And this momentum, and this discipline gives us confidence in the quality of the business we are building. And by 2030, we aim for this business to deliver between $2 billion and $3 billion of EBITDA. And as this slide shows, we now have a global portfolio of projects. We're trying to recreate the sort of oil and gas major project list, right, that's what we're doing here. You see it in offshore wind, you see it in hydrogen, and it gives us the confidence and it gives us a platform to develop those future low carbon energy hubs. Turning to hydrogen, where we have conviction and our ability to create differentiation and build a material business. We now have a hopper, a 0.7 mtpa, of which half has been announced, including H2Teesside here in the U.K., Lingen in Germany, and Oman. And this hopper has the potential to grow to up to 1.3 mtpa, as we continue to activate demand and scale up production. And we're focused on growing scale in key regionally integrated markets such as the U.K., Europe and U.S. And we're playing to our strengths here. We're leveraging our technical capabilities. We're leveraging our existing demand, at our refineries to be that anchor for those first projects. We're building on our experience of delivering and operating complex projects. Remember those 35 projects delivered on-time under budget. We're creating value through integration of marketing, trading and shipping Carol's business, for example, with power customers in Asia, just like we've done for decades in LNG. And we're deepening our partnerships, creating integrated low carbon energy hub opportunities through long standing relationships, many times built through our oil and gas businesses, such as with Abu Dhabi, such as in Oman, and with companies such as Daimler, and NYK group. And we're confident and energized by the potential of this business. And Anja, when she arise, we'll get into this, and she will discuss this with you all the broader low carbon business at a session that we will do with you later this year. And I'm excited to introduce her formally to you. Turning to integration. Let me spend a few minutes explaining why we see a role and I would say, indeed, a need for an IEC such as BP. One of the few companies, we believe, and I don't say this in a boastful way, but one of the few companies who have the scale and the expertise and the experience to navigate complex markets, and who can help manage increasingly interconnected energy systems, the importance of which I think have been highlighted in only the past few months. For over 100 years, we have been in it's before your time Murray we've been in the business of integrated energy value chains based on hydrocarbons as the energy source. We get oil and gas out of the ground as the upstream business. We transform the hydrocarbons into marketable products. That's the refining business, and we sell those hydrocarbon based products in our marketing business. We've created a portfolio which gives us a global presence across that hydrocarbon value chain. And of course, we have our trading organization to optimize the flows and to provide an uplift to group returns of at least 2% in addition to what each standalone business can do on its own. As we move from an IOC to an IEC and decarbonize our portfolio, we plan to replicate this model of integrated energy value chains, combining hydrocarbons, now with electrons and hydrogen. We're moving into renewables, solar and wind. That's where we generate the electrons. It's a new upstream business. We transform those electrons into hydrogen, it's a new downstream business, and we'll sell the products, we'll sell the electrons, we'll sell the hydrogen to customers, a new marketing business, and this creates an electron and a hydrogen energy value chain with upstream, downstream marketing businesses that will complement our existing hydrocarbons value chain. And at the heart of our integrated value chains is our world class it's for you Carol trading business. It has been decades in the making with a presence in 140 countries and over 2,000 employees. And through it, we can leverage our global asset portfolio to provide a consistently reliable supply. We've expertise in managing risk in volatile markets with high commercial, and regulatory complexity. We have deep analytics and technology expertise, and we can create integrated bespoke energy solutions for our customers. All of these are transferable allowing us to grow in new products and markets, including for example, biogas and low carbon products. And together we believe this capability can allow BP to offer customers a one stop shop for their energy needs. And U.K., where we are today is an example of how these integrated hydrocarbon electron and hydrogen value chains can come together in one region. We've been present across the hydrocarbon value chain in the U.K. for over 50 years. We produce oil and gas in the North Sea. We sell oil and gas to customers and gasoline and coffee to consumers. We're bringing gas into the U.K. from overseas to the oil of green terminal as well as shipping products from European refineries. We're now in action to create electron and hydrogen energy value chains in the U.K. We intend to produce electrons through offshore wind farms in Scotland, and in the Irish Sea. And through our Lightsource BP joint venture. We plan to construct hydrogen CCS and biogas plants. We plan to scale up our EV charging, and customer offers. Using our extensive physical retail network, our brand and our convenience offer. We'll be able to link gas and electrons to help create reliable power. And as mentioned earlier, the returns from each of these hydrocarbon electron and hydrogen businesses can be further enhanced by integration through our trading organization. And it's this ability to leverage existing infrastructures, existing capabilities, and relationships, and integrate across offshore wind, hydrogen, and EV charging supported our recent successful bid in the Scotwind leasing ramp. And we're already working to replicate this model in other countries. Equally crucial to our transformation to an IEC is having the right capability to enable our success. And here we're in a good position. We have great incumbent capabilities skills that we can leverage that we can increasingly leverage across our three strategic themes. Our 120 strong extended leadership team is representative of our broader workforce bringing together a broad and diverse set of expertise, views and perspectives, and is made up around 40% female and around 25% global minority. And from next month, I look forward to having a gender balanced leadership team reporting to me. And on the right of the slide, you will see what we that where we feel we need different skills. We're hiring, bringing in high caliber specialized talent, often from other industries. Over the past 18 months alone, we have hired 38 senior executives from outside BP. And that's a marked change with our history. And for me personally, it's the most and carry does this work. It's hugely encouraging to see the interest in our strategy and in our direction. Turning then to sustainability. In 2020, we announced two years ago, our ambition to be a net zero company by 2050 or sooner and to help the world get to net zero. Two years on we continue to believe our ambition is good business. And we continue to believe it supports society's drive towards the Paris climate goals. We're in action, and we're on track for our 2025 targets. As we progress, we continue to learn. We have growing confidence in the opportunities especially over the longer-term in building, participating in, and integrating along and across net zero value chains. And this has enabled us to make some changes in this works been led by Giulia. For aim one which encompasses our scope one and two emissions from our operations. We're accelerating our 2030 aim from 30% to 35% to 50%. Today, for aim three today, which includes the life cycle emissions from the products we sell. We're increasing our 2050 or sooner aim from a 50% reduction in carbon intensity to a net zero ambition. And we're updating our 2030 aim to 15% to 20% and we're expanding aim three scope to now include physically traded sales of energy products. Delivering of our 2030 aims will be driven by execution of our strategy first and foremost. For aim one this includes improvements from reduced flaring, energy efficiency, electrification, and the use of low carbon electricity as well as the contribution from base decline and divestments. For aim three, this is driven by our evolving portfolio, including investment in EV charging, bioenergy, renewables, hydrogen, as well as an energy product trading mix in Carol's organization that reflects decarbonization of global energy and BP's activities over time. Our other aims remain as is including those on methane and Net Zero production. So on aiming for Net Zero across our operations, across our production and across our sales by 2050 or sooner, we believe that our ambition supports the global push to meet the Paris goals, including helping the world pursue efforts to limit temperature rise to 1.5 degrees above pre-industrial levels. And we intend to provide shareholders with the opportunity of an advisory vote on our Net Zero ambition at our 2022 AGM and we're grateful for the continued engagement in the challenge, and especially support from our investors, including CA 100+. Turning finally to Rosneft to also continue to make significant progress on their sustainability agenda. We welcome their New 2030 strategy, which incorporates a target to be Net Zero by 2050 for Scope 1 and 2 operational emissions, their ambitions are leading among large Russian energy companies, they are supported by interim targets on absolute emissions, on methane and on flaring. And this builds upon Rosneft's commitment to improving environmental performance with a strong focus on energy efficiency and carbon and methane intensity. And we're almost to the day one year into BP's and Rosneft's strategic collaboration agreement on carbon management and sustainability. And through sharing perspectives and exploring emissions reductions opportunities, the agreement supports both companies decarboniztion journeys. I don't know how I did for time. But let me now hand back to Murray to update you on our financial framework, Murray?
Murray Auchincloss: Thanks, Bernard. I'll try to be at.
Bernard Looney: How did I do?
Murray Auchincloss: You did great. I'll try to be a bit more succinct for those of you who know me. So thanks, Bernard. The detail we provided today links the delivery of our strategy, drive 2025 financial targets. It also shows how we aim to transition the cash flows of the company to 2030 based on our plans. Let me briefly recap. First, we have a high quality resilient hydrocarbons business that we expect to sustain EBITDA around 2021 levels through 2025 and we aim to hold around this level through 2030 at broadly constant price assumptions, with returns of 12% to 15%. Second from 2021, we aim to more than double EBITDA from convenience and mobility to around $9 billion to $10 billion by 2030 while generating returns of at least 15% to 20%. Our customer businesses are ratable and drive growth to 2025 with EV charging driving growth in the second half of the decade. And third and low carbon we aim to grow EBITDA in the second half of the decade, reaching $2 billion to $3 billion by 2030 as our renewables and hydrogen businesses come on line, this is all underpinned by continued relentless focus on cost efficiency, investment in digital and agile ways of working. We continue to expect to deliver cash cost savings from Reinvent BP of $3 billion to $4 billion by 2023 relative to 2019. Taken together, this underpins our confidence in the guidance we gave you in August 2020. We expect to deliver 7% to 9% EBITDA per share CAGR between 2H'19, 1H'20 and 2025. Yes, that's a mouthful, and ROACE of 12% to 14%. This assumes oil price of 50 to 60 per barrel in 2020 real terms. And looking further ahead as the businesses transition, we aim to continue to grow EBITDA to 2030 while sustaining overall returns of 12% to 14%. Within this we're increasing our exposure to businesses which are expected to see rapid growth through the energy transition. As Bernard mentioned, this is driven by five transition growth engines, bioenergy, convenience, EV charging, renewables and hydrogen. These businesses contribute about $1.5 billion of our EBITDA today, but we are deepening our investment here. In 2021, they represent more than 15% of our CapEx, by '25 we expect this to be greater than 40% and by 2030, around 50% Capital employed will follow while modest today it is expected to reach over 20% by 2025 and close to 40% by 2030. And in the second half of the decade, we aim to deliver double-digit EBITDA growth from these businesses as the capital we are investing matures. Together these transition businesses underpinned by these five growth engines aim to deliver around $9 billion to $10 billion of EBITDA by 2030. Our confidence in this potential reflects the progress made in building strong foundations in each of these businesses. And as a result, a clear set of operational milestones from which you can start tracking our progress. As Bernard has highlighted, in bioenergy our plans are underpinned by five major projects, including three adjacent to existing refineries. Additionally, we will continue to rapidly expand our arrangements with biogas companies with further offtake and equity positions. In convenience, we have grown our network of strategic convenience sites by around 30% in the last two years, with clear line of sight to our upgraded targets in 2025. We are rapidly building a network of EV charge points to underpin our focus on fleet and on-the-go fast charging in our core markets. We have established a 5.2 gigawatt pipeline in offshore wind this includes Empire Wind and Beacon Wind in the U.S., Mona and Morgan in the Irish Sea and our new Scotwind venture in Morgan. We expect the first projects due online before the end of the decade and our first green hydrogen projects are scheduled to start up from 2024. As we invest to drive this growth, we are committed to the disciplined allocation of capital. We expect to maintain a discipline capital frame of $14 billion to $16 billion per annum through 2025 and we aim to sustain this level through 2030. In resilient hydrocarbons, we expect to invest $9 billion to $10 billion per annum between 2023 and '25. With our plan to invest around $7.5 billion per annum in oil and gas through 2025 unchanged, the range reflects our plans to deepen in biotechnology. In convenience and mobility, we expect to invest between $2 billion to $3 billion per annum. This underpins our convenient strategy and our plans to accelerate in EV charging. And in low carbon energy, we expect to invest $3 billion to $5 billion per annum between 2023 and 2025, rising to $4 billion to $6 billion per annum in the second half of the decade as we build out positions in renewables and hydrogen. We have a standardized approach to investment allocation, balancing investment economics, volatility and ratability, optionality and integration, strategic alignment, safety and risks, and sustainability and we have stringent investment hurdles. These include payback periods of less than 10 years for oil and refining, and less than 15 years for gas and we also have returns expectations for low carbon energy, as well as the transition growth engines Bernard mentioned earlier. This capital frame is also underpinned by a strong balance sheet. I like this one, we remain focused on maintaining a strong investment grade credit rating, and have made strong progress. I've already outlined the strong progress we made in reducing net debt by over $8 billion in 2021. In addition, we remain focused on maintaining an efficient balance sheet. Since the end of 2019, we've repurchased around $15 billion in short dated bonds, in addition to over $11 billion of bonds with a duration of 20 years or longer, more than doubling the duration of our debt book to over nine years, and increasing our exposure to fixed rates at attractive coupons. That's looking like pretty good timing right now. Looking ahead and subject to maintaining an investment grade credit rating in 2022, we plan to allocate 40% of surplus cash flow to further strengthen the balance sheet, and to manage the business with a conservative cash balance point of around $40 per barrel on average through 2025. Our financial frame enables us to reward shareholders today through committed distributions, subject to board discretion and at around $60 per barrel, we expect to have the capacity for an annual increase in the dividend per ordinary share of around 4% through 2025 and we remain  strong investment grade credit rating. On average, at around $60 per barrel, we expect to be able to deliver buybacks of around $4 billion per annum through 2025 with upside at higher prices, as you can see here. Finally, this slides provides a summary of what you can expect from us in 2020. The continued discipline and execution of our financial frame. With that, I'll hand back to Bernard to conclude today's presentation. Thank you.
Bernard Looney: Very good, that word more succinct. Yes, great. So this is one to two minutes, and then we'll go to questions. So in summary, it says you have heard a lot today, I agree on our strategic progress towards transitioning into an integrated energy company. And at the end of the day, it all comes together in our investor proposition, Craig's favorite slide, and we've shown that. It is a simple but we believe compelling proposition that combines the following. Number one, committed distributions, generating competitive cash returns today, as we transform the company. Number two, profitable growth, growing EBITDA per share, and growing returns and number three, sustainable value as we invest with discipline in the five transition growth engines, and lower our emissions, all of this in-service of delivering long-term shareholder value. So thanks, again, for listening this morning. Now, it's over to you, Murray and I will be delighted that says we will try anyway to take your questions from the room and online. We've got all the technology that we need to do that. May we ask you to keep them to two points, only please, at most, and to frame them as briefly as you can. This is all Craig's language, if you want to blame anybody, so that we can get through as many questions as possible. And it will also be helpful if you will just state your name for those people who are online. And I guess we'll start here. Murray in in the room. So who wants to lead off? We'll go to the back here. Go ahead.
Q - Michele Della Vigna: Hi, thank you very much for the presentation. I wanted to ask you two questions.
Bernard Looney: Just remind people where you're from and just sort of people know.
Michele Della Vigna: Perfect. It's Michele Della Vigna from Goldman Sachs. And two questions, if I may. The first one relates to your buyback program. I was wondering, under what circumstances you'd go above the 60% pay out of the free cash flow. I was wondering if perhaps, at higher oil prices, it makes sense to dedicate more to buybacks? And whether there is a hard limit to how much you can do, how much more than let's say $2 billion per quarter? Can you actually execute on the market, given the daily liquidity and the amount of shares you want to buyback in a year? And then my second question relates to the EU green taxonomy. A lot of companies are starting to work to think about what is the percentage of revenues and investment that is consistent with it? I was wondering when I look at your numbers on the green transition, should we just effectively take it ex convenience, which doesn't fit into the EU green taxonomy and think that that could be a good approximation of where you could end up when you start to report those numbers in the next 12 months? Thank you.
Bernard Looney: Very good. Excellent. On buybacks, Murray will speak to limits and his own views on things. Michele you know, as well as I do. It's -- there are many debates about what is the right use of surplus cash. And I think from day one, I think we've learned outlined a very clear financial framework that takes each of those potential uses of cash in order starting with the first column cash being the dividend, then we want to strengthen that balance sheet. And we have done a lot. I think we had our largest reported debt was $51 billion net debt that was at the end of a quarter, it might have been different in the middle of a quarter. And we're now down at $30.6 billion. I think we're in a much better place with our rating agencies. We're now stable outlook, with S&P, having been upgraded from a negative outlook. And we'll continue to want to put that 40% on the balance sheet through this year. We then want to invest in our hydrocarbons business in our growth engines. And if there's any leftover the fifth and final point is for buybacks. So the board keeps this under constant review. We've been very clear in terms of buybacks for this year, what you can expect, and it's not at least 60%. It is 60% for 2022 with the 40% going to the balance sheet, and we'll update our views on that again, at the same time next year. And obviously, the dividend is kept under review by the board on a quarterly basis. But we've laid out our expectations around that. Anything you'd add and anything around limits to what we can do.
Murray Auchincloss: Yes, I think it's just important given the uncertainty in the world that we continue to dedicate money to strengthen the balance sheet. I feel that's very important. Another shot can happen at any moment in time on Omicron or the next wave. And so I think it's better to posture in a conservative space, to be honest. So that's why we're continuing to dedicate cash to the balance sheet. I don't think there's any way we regret that. As far as limitations on share buybacks, there will be market limitations. We're still learning about that about what's possible. Of course, it depends on how fast the share price appreciates, as well, that creates limitations in itself. We feel -- we've already done half a billion dollars of buybacks this quarter for employee offsets in January. So that's behind us. We'll do a billion and a half by the results date. That's carefully worded, because sometimes it's a little bit tricky to do it inside the quarter. So there are days where we're buffeting up against that, but liquidity in the shares is high. We just have to watch a rising share price that it's difficult to continue to buyback with that rise in share price. So, so far, so good. But probably another half a billion in the quarter is getting tight, depending on what happens with share price. But that's a nice problem to have Michele.
Bernard Looney: Yes, you're not saying that's a bad thing.
Murray Auchincloss: That's a great thing. Yes.
Bernard Looney: Okay. Got it. On EU taxonomy. Look, I think it's a moving space. The proposals being issued, I think a big question you'll have to ask yourself Michele is what to do with natural gas, which is in the current proposal, albeit a decarbonized version of natural gas. Let's see how that survives. Convenience is in our transition growth engines, because it's the non-fuel element of our convenience business, which in the U.K. today, I don't know what the numbers are. But more than half 60%, 70% potentially of people who visit a BP petrol station don't buy any fuel. So it's a convenience offer for a convenience reason, it's an incredibly fast growing business. I've looked at the U.K. market, it's expected to grow at 12.5% per annum over the next five years. So it's a transit -- it's a growth business. It's in transition, because it's non-fossil, it's that aspect of the business that's in there. The trick will be what happens with natural gas. And that could obviously spring your numbers up and down. The others are clearly very much part of the taxonomy. So hopefully that helps. Great questions. Thank you. We'll go here next. It's like everybody's is going to ask a question.
Gordon Gray: Gordon Gray, HSBC. Just one on the mobility, and particularly EV charging. You've got very ambitious targets for growing EV charge points. Some of that obviously is going to cannibalize your conventional fuel sales. Can just give us a feel what you're seeing on the ground today, about the margin you get from EV charging in a typical fuel station relative to historic conventional fuel margins?
Bernard Looney: I think that's the most we've said so far. It's what Emma said in an interview recently that we're at the point where the margins are broadly equivalent. So we're at the stage where the margins are equivalent. We probably think that they can get better. If you look at our Hammersmith EV charging station, our utilization rate in Hammersmith is 67% today. 67% that's on a time basis. Many of the assumptions that people have in their plans are around single-digit utilization rates. When you look at the residence time of a charging customer, probably a little bit longer than that of a petrol customer. We see enormous opportunity on the convenience side. In fact, we see that with our station here in the car park underneath Hyde Park in London, where the convenience offer is also a big draw. So we see opportunity there. So we're very excited about this business. We're opening 115 charge points a week. Now we're adding 115 charge points a week in the fourth quarter. We sold more power in December in China than we did in the entire 2020 year. This is a business that's growing exponentially. And when you talk about the role of a company like ours in the transition, and people question it. Why wouldn't we want to absolutely take on that market? Look at the starting position we have, 550 million customers within 20 minutes of a BP site. Look at the brand that we have. Look at the convenience offer that we have.  in Germany, Albert Heine, in the Netherlands, AMPM in America, huge. We would be fools not to embrace this opportunity that is being presented to us. So we see massive opportunity. That's why since last year, that plan has accelerated more capital is being deployed. And we're very excited about the long-term potential fleets. Hugely interesting. Between 6% and 8% of the power that we discharged through our charging network in the U.K. in 2021 was to Uber. So fleets will become important. Fleets that's where we're concentrating in America. So 4.5x more electricity, more power sold in 2021 than in 2020. And we are targeting a 100 fold increase by the end of the decade. All about undergo fast charging, ultrafast charging. It's a very different business, but it ones that plays enormously to our strengths. You love it, what have I missed.
Murray Auchincloss: The growth and fleets in the U.S. was pretty surprising. 10x growth over the decade. So 254,000 electric vehicles now in fleets 10x growth through the end of the decade is the most conservative estimate we see. That's why we went into ample power to really get a leapfrog ahead on their customer book, and then their digital offer. They have a great digital stack. It allows you to help manage a business on their behalf the overall fleet and you can charge on a fleet on a service basis. So we're bringing that back to the U.K. as well. We've got deals with Royal Mail, fire brigade, police just customer after customer after customer. And if we can link together the offshore energy, the onshore hydrogen with these fleet and on fast on the go charging, you've recreated the upstream in about a decade's time. So it's just a fabulous, fabulous opportunity ahead of us with very high returns,
Bernard Looney: And if you're charging geek like we obviously are, check out the blogs on Blazon Blogger in Germany, who compares reliability of charging networks all across Germany, and AROU, which is our brand in Germany is number one with 1% downtime. So anyway, fun space who next Lucas? And then we'll start heading over to the side of the room here shortly.
Lucas Herrmann: It's Lucas Herrmann from Exane. Two questions a little more here. And now perhaps the first is you must have very good visibility on the LNG trading business into Q1. Given I suspect, Carol would have set most of your positions for you. I wonder whether you can make any commentary on how you expect trading in that quarter, or the next quarter to go relative to, shall we say the last two? And the second just goes back to balance sheet, Murray. And maybe it ties in with trading to some degree as well. But just the mix of cash in debt, it's very visible, the Europeans carry a lot of cash relative to the U.S. It's also very apparent that you trade a lot more than the U.S., but the level of cash carried on balance sheet now. Is it really appropriate? Or should you be thinking about bringing that down and suffering less of an interest hit through differentials? What was that?
Bernard Looney: Thanks Lucas. Murray, I'll let you take both.
Murray Auchincloss: Sure. Starting with balance sheet, my favorite thing Lucas. $39 billion of cash at the end of last year down to $30 billion in cash. And you saw the statistics on debt buybacks, we'll continue to do that, as long as it economically make sense to continue to buyback debt. Depends on what happens with interest rates. But for now, we think that continues to be a sensible thing to do. We do have to carry high levels of cash though, as a trading organization, in order to trade on exchanges. You have to have cash buffers for initial margin and variation margin. And that's why we can drive the returns that we drive through having that cash. I think that's an effective use, the returns are pretty darn high on a cash basis much better than you can get into depository bank or anything else. So I think we will run a little bit higher cash position, especially as we go through the volatile times we're in right now. Exchanges are demanding more margin call these days, given the volatility and until while this deficit and energy supply last, we'll just need to run our cash balances. So I don't think that's a bad thing. I think it's a good thing, Lucas, because it enables Carol's profits. As far as speculating about how Carol will do in the first quarter. I think I'll hold fire. The gas markets are pretty volatile right now predicting is gas price going to go up as bad gas price is going to go down as tricky right now. We obviously have a large LNG traded book, there'll be doing a lot of cargo deliveries into Europe. I think we did 35 into Europe over the past year seven and seven here into the U.K. to try to help with gas supply. But there's a large position that will be delivered and they find, oh, Carol, she'll do pretty well. So let's see Lucas.
Bernard Looney: And on LNG cargo I've learned provides enough heat for 100,000 homes for a year. So 35 cargoes into Europe last year seven cargoes into the U.K. over the winter, which is double our normal capacity. Chris.
Chris Kuplent: Thanks so much. Chris Kuplent from Bank of America. Murray fully endorse your message on the balance sheet if I may. Can you remind us of your sensitivity away from net debt in your provisions and lease books to rising interest rates, which I guess we have to prepare for? And my second question, if I may 2021 is a special year because I remember well, 2016 and '17 Investor Day is targeting 2021. And you've made it not exactly easy to compare with targets that were set at the time, but I would argue downstream as the one that let you down. Of course, we're in COVID times downstream was particularly hit during 2021. You highlighted $600 million, Bernard on COVID impact pet cams gone. But you're using again, convenience and mobility as a target to get excited about earnings growth. And I can't see much earnings growth over the last four years that we talked about in there. So how can you maybe convince us that this time is different?
Bernard Looney: Very good, very balance sheet.
Murray Auchincloss: Yes, sensitivity to interest rates. As I mentioned in the speech, an awful lot of the debt book that we've gone with recently on the debt races is fixed. So we've taken advantage of the low rates in 20s, and 30s. And fixed most of our balance sheet, pretty low rates. We won't retrieve those. So those should carry most of the debt book fixed for the next few decades. I think that'll turn out to be fortunate timing, but two or three CFOs down the road will actually tell us what happens. As far as the rest of the leases aren't sensitive to interest rate moves. So that's not a risk. And of course, the Macondo pay down remains out there as well on a gross basis. And that's not subject to interest rate volatility as well. So I think, as I came into the job, there were a lot of people asking me about the strength of the balance sheet, the nature of our debt book, I think, Kate and Navneet have done a fabulous job of fixing it, lengthening it and decreasing the risk profile the business significantly. So I think that concern is largely behind us. And something that shareholders can now count on for moving forward.
Bernard Looney: On convenience and mobility, part of downstream business from the old days with and without products. I'd say a couple of things. I think the area that's been challenged over the last year or two, in particular aside from COVID has been Castrol. We've had higher base all costs feed through last year, there's a lag there, they're twice what they were pre-COVID. Our margins are off. We have challenges on the supply chain on additives. So that's an area where we've seen some challenge, no question about that. We're on it. We have a plan. We will grow that revenue base. We are going to take out costs. We see massive opportunities for digitization. We see massive opportunities in the warehouse base. And we do believe that the additive situation will resolve itself around the middle of the year. So the underlying premise of Castrol remains very, very strong. In fact, they had their highest sales on record in China last year, and they remain the number one brand in India. So that's some work to do. Beyond that the convenience and mobility business, why do we have confidence, 20% increase in gross margin between 2019 and 2021. That's on top of a 10% increase the previous year, and a 10% increase the year before that. What's driving these types of things, basket sizes, people are wanting to shop or local. And if the quality is there, they're going to come to your store. Basket sizes are up 20%. Thorntons are seeing basket sizes are up 29%. We have I think, 16 million loyal customers. That's way up over the past couple of years. And a loyal customer is worth of 4x more than a regular customer. We've talked about the digitization and the app through BPme. We've had the highest number of transactions ever, in November on the BPme app. And they're twice what a non-BPme app is. The U.K. in retail had its best Christmas ever on record. So when I look at the inputs to the business, I'm very confident that under MS leadership, we will deliver the plans that we've laid out. COVID has been some headwinds. We've had a few challenges in Castrol. But the underpinnings of that business in that space are brilliant. And they're all driven by a commitment to the brand, a commitment to the quality they offer, and a real commitment and investment into digitization of that offer. So pretty excited about it, Chris, you'll have to hold us to account that's what we're here to do. And that's what we intend to do. Got to come to Lydia here on the front row.
Lydia Rainforth: Thanks. It's Lydia Rainforth from Barclays. And two questions if I could. Firstly thank you for doing this in-person. It's very interesting to see. In terms of the EBITDA -- if you think about the transition EBITDA that's sort of 20% to 25% I think of your overall EBITDA number now by 2030. So within that I mean obviously there has been discussion, but it doesn't actually look like that kind of messaging about being an IC is necessarily getting through to the share price. So at what point do you go? Actually, we need to do more around that, or there's a different structure that you look at? And then the second part is, clearly there's a lot of focus on the low carbon and energy transition in there. How do you feel about inflation within the CapEx side of the renewable side? So let's say on the oil price on the oil side, but around the renewables business, given that these are new projects, that the first time that you've done them? How comfortable are you in the CapEx?
Bernard Looney: Great. Murray you want to take inflation? I'll take the IEC question.
Murray Auchincloss: Yes, inflation more broadly, we ate most of the inflation in 2021. The only place we're seeing material inflation in 2022 right now is things like solar panels, and then our lower 48 business. Highly predictable, isn't it, when you see an upswing in price, the first place that it shows up as a lower 48. We're probably seeing a forecast of 5% to 10% inflation in the lower 48. But I suspect the guys will do better than that. If you guys have met Dave Lawler, he likes to sandbag a little bit. So I think he's just trying to make room for more activity with me. So I think, he's going to love that. I think it's, I think we're okay in the historic upstream and the downstream, and we'll be able to eat most of the inflation in 2022. You're right policy it's got inflation, 30% or some of the numbers we're seeing, but because of the cycle time with it, it's fine, you spend the money, but you get a higher PPA, and you still get the returns you want. So it doesn't really impact the returns ratio of the business itself. As far as the longer wavelength inside offshore wind, we're just now on Empire 1 and Empire 2 going to market with bids, we'll see what those look like. And we'll be interested to hear back from Equinor throughout the year, we should hear back by the end, I suspect Equinor will update the market once they're through all that process near the back end of 2022 about what we're seeing. I think there will be bubbles of this stuff. So there will be some heat and then more capacity will come on, et cetera. So I think it will all be on the timing of when you contract versus when you fix in a PPA, and when you fix in your debt. And I think two big companies such as ourselves, will be able to manage our way through that to get to the returns. As far as CapEx, Lydia, we'll stick with the 14 to 16. And we'll just modulate -- we will modulate our equity to manage that or modulate the debt levels we have to make sure that we manage through this. We're focused on returns and we're focused on capital discipline. That's core in our mind as we go through this.
Bernard Looney: And on your first question, Lydia. Tackle it a couple of ways. One is I think, I think as the world is beginning to grapple with the complexity of the energy transition, I think there is a day by day, increasing understanding that there is a role, and not alone, just a role. But actually there is a need for a company like ours. And I think that is becoming more and more apparent. It has a long journey still to go, no doubt. But it is becoming more and more apparent because reliability, and affordability matters as well as clean. And the reality is that natural gas with renewables of which we have both, which we can add a trading organization to so that we can provide a customer with that predictable, reliable, affordable, cleaner supply. There's a role for a company like that, because people don't want to have to go to somebody for their renewable power and go to somebody else for their base load power and go to somebody else, to hedge their pricing and to do all of these things. There is a one stop shop here. It's called an IEC. It's called BP. So I think, in some ways, the challenges and we don't wish them to be like this, but it is a complex transition. And I think it increases the argument that we have a role and that there is more than that, that companies like ours are needed. The second thing that I would say, and that is why we had confidence clearly when we laid out our strategy 18 months ago, but the more I learn, and the more we learn, and the more time we spend in it, the more excited you get about just what a company like ours has to offer. So let's take sustainable aviation fuel. If the world is going to decarbonize aviation, sustainable aviation fuel is going to be a big part of that. Now, you can start up a company tomorrow to try and do that or you can become a single source business that that's what you do. But it's not straightforward. Now look at the advantage that decades of history give us. First of all, the biggest issue in sustainable aviation fuel today is supply. That's what Carol's organization does. Offtake agreements from all around the world. We just signed a deal last week 10 year agreement with Nuseed to do Carinata which is a food cover, a non-food cover crop that farmers can wish we had it back in Ireland back in the day. But that's another story between crops,we signed a deal there. So we can do these big supply offtake agreements, then go to manufacturing it or why wouldn't you use the refinery and the power and the utilities and all of the things that a refinery has and put a unit next to that, of which we will do two, that will be much more capital efficient than anybody can recreate. And then go to the downstream of that. You got to sell it to customers. Air bp is in 50, 60 countries around the world. They are in every airport, they have a relationship with every airline, all ready to go. And you wrap a trading business around the totality of that flow. And you start to say, wow, now you go to offshore wind, I spent a day in New York with the team out there. I heard as much there as I would have reminded me of the oil and gas days permitting issues, local content issues, supply chain issues, cost maintenance issues, vessels, all these things that we're so used to. Hydrogen, who's going to build 10s of billions of dollars of hydrogen facilities, build ports, converted into ammonia, build ships, ship it to Asia, the customers in Japan and Korea that want to decarbonize but can't who can do that, that reminds you of the LNG business. We've been doing it for decades, we can do that again, if that is what is needed. So our confidence in the role and we can do that because we're together. The structure of being an integrated energy company means we can do that. So you want to add?
Murray Auchincloss: No, I was pretty passionate. Does that help?
Bernard Looney: Yes, good, excellent. We'll go over and we will go to the phone lines here.
Biraj Borkhataria: Biraj Borkhataria, RBC. So question on divestments. I mean, at this point in the cycle, your balance sheet doesn't need divestments. But you obviously have your top down targets in the upstream that the 40% decline. I just want to get a sense of how you're thinking about accelerating that potentially in light of high commodity prices. And then the second question related to that, but the 2022 guidance, could you just remind us if there's anything left due from Alaska, and if that's embedded in that $2 billion to $3 billion number?
Bernard Looney: Murray, handle the second part. Biraj on the first part, not top down in terms of the 40% reduction in production there. We've looked back to the year 2010 and BP has consistently every year done on average $4 billion to $5 billion of divestments every single year since the year 2000. Portfolio high grading is a natural piece of running a good business, and we will be doing this. Energy transition or no energy transition, this is good business. And this is what we will do in the years ahead. We set out a target already of $25 billion. That's what we said we do by 2025. We've done 15, we've got 10 to do, two to three per annum, which was kind of what our guidance used to be many, many years ago, $2 billion to $3 billion of divestments per annum. Accelerating divestments, it's all a question of value. We're not in a rush, no rush here at all. If someone else sees more value in an asset that we feel is less important to us, than it might be to them, then we're open minded. But there is no intent to accelerate, there is an intent to prosecute the plan that we've laid out. And the main thing to do is we're going to be driven by value. That's what we're going to be driven by. And if we see value, we'll do it. If we don't, we won't. And that's where I would leave it, Alaska 2022.
Murray Auchincloss: Yes, so $15.5 billion of proceeds have been announced or transactions have been announced for sale, $12.5 billion has been received. So we've got three of deferred payments, including Alaska, we'll probably get depends on the oil price, depends on performance, but 10% of that is Alaska, 10% of up to two threes, Alaska, inside 2022. And it's a gradual payout structure over time based on price and performance could be higher if the price goes higher, or if they perform better but that gives you a rough range, Biraj.
Bernard Looney: Thanks, Biraj. Let's go to the phone line, or Zoom. Can we go to Jason Kenney at Santander. Jason? I thought you were supposed to be here.
Jason Kenney: I was unfortunate, I mean, well, I say unfortunately, I'm in Scotland, enjoying a sunny day.
Bernard Looney: Very good, that is nice.
Jason Kenney: Thanks for the presentation. Really enjoyed the camaraderie and the positivity that you're generating, it is phenomenal to see and to watch. I've got a point of clarification, I think you mentioned on the biogas, bio energy kind of $0.10 split for biogas but a much larger part of the EBITDA potential from biogas relative to the volume, if you could just clarify that for me. Secondly, on fleet charging, any data points around the AMPLY deal in the U.S. would be much appreciated. Are there likely to be other targets in the fleet space in the fleet first just phenomenal opportunity? Or do you think that there's going to be mainly organic growth on the back of that positioning? And one more, if I may, is there a scenario where BP moves net cash by mid-decade? Is that something that you've envisaged and any implications that you think could go to that?
Bernard Looney: Great, Jason, thank you. I thought you were being nice, genuinely. But you wanted three questions. So now, now I get it. But, Murray, if you take bio, and net cash, I'll take AMPLY, AMPLY is a great, it's a great acquisition where we've, I haven't met the team personally, but the team obviously has, and we're excited. What did we buy, we bought three things we bought, number one, a great management team. Number two, we bought a long list of customers. And number three, we bought a digital stack that would have taken us two, three, four years to build on our own. I know that Richard Bartlett, who runs our EV charging business is in America this week, or next week, and he's meeting with the team, and they're going out to other customers, some very big customers, potentially that would be fantastic if we could sign up. So hugely excited about that, it's given us a big acceleration in our fleet journey in America. And that's what we wanted to do, when we do more deals like that, possibly. But what you should know is that all of what we do is within our $14 billion to $15 billion frame for this year, and within our $14 billion to $16 billion frame going forward. So we may use acquisitions at a relatively small scale like that to help accelerate our ambition. But you shouldn't see, you won't see any surprises in our capital, because it's all-in. Murray, on biofuels, it is a billion and biofuels in a billion and biogas anything else you want to say, it's just very high returns biogas, right.
Murray Auchincloss: Yes, the biogas is a bit of a different model in the biofuel side. Inside our trading organization, we don't generally tend to use CapEx, we tend to use our balance sheet for commercial commitments. So you won't see much CapEx put into biogas, there'll be some, but you won't see much CapEx go into that, we will be long-term commercial commitments and leveraging those, so you get some pretty extraordinary returns inside the biogas business.
Bernard Looney: Plus the credits.
Murray Auchincloss: Plus the credits, of course, which are very attractive and could be traded as well. And then the biofuels side, we will have the CapEx heavy period, we will invest somewhere around $2 billion to $3 billion into the five facilities that Bernard talked about, through the middle of the decade, we define now on three of them. So let's see how the engineering estimates come through. And then very much looking forward to building these options. That would be fantastic. As far as net cash negative, well, I guess that's a question on oil price, isn't it? We've given you a lovely little chart, I can't remember what slide it was, we've given you a lovely little chart, and we've added a yellow brick at the top for what happens to debt as price goes up. So that gives you the total, total free cash flow that we're getting out of the business. And certainly it's possible that we're getting more cash than we know what to do with. For now, I'm going to be conservative and manage the company as if it's $40 oil, anything, anything we could get above that just helps obviously, and that will go 60% to buybacks and 40% continuing through that. But it's possible with the pricing we're seeing now, Jason, but for now I'll just focus on 2022 and make sure we continue to be conservative with the balance sheet.
Bernard Looney: Thank you, Murray. Excellent, let's go to Jason Gabelman from Cowen and Company on Zoom as well. And Jason, thank you for your question, Jason Gabelman?
Jason Gabelman: Yes, hey. Thanks for taking my question.
Bernard Looney: Hi, how are you?
Jason Gabelman: Good, yes. I had two, first just it was a clarification on. I'm trying to compare this to kind of when you initially laid out the strategy, and it looks like when you laid out the strategy, bioenergy, and LNG was in your low carbon and energy business footprint and the EBITDA growth that you were discussing had that portion in the low carbon energy. And now it looks like it's in resilient hydrocarbons and the EBITDA growth associated with bioenergy and LNG, is in resilient hydrocarbon, so if you could just clarify that. And point two, I wanted to ask, Murray, you mentioned polysilicon inflation at 30%. And it seems like a pretty eye popping number and you're obviously focused on growing your renewables power business quite a bit. So if you could discuss, how you think about that inflation potentially continuing over time as solar and wind growth continued to accelerate industry wide, relative to your capital budget, and how you manage that and think about hitting your growth targets in terms of capacity, you plan to bring online. Thanks.
Bernard Looney: Jason, thank you. On bioenergy and LNG, bio and LNG is definitely and the resilient hydrocarbons. The reason bio is in there is because it's based on the biofuels business in there is based around those refineries, right. That's what we're going to do in there and that's, there is no perfect place to allocate these. Believe me, we've been back and forth on this a lot. And there's no there's nothing, there's nothing cute going on there as an Irish phrase. It's simply that's where we think that belong and the key is what it adds up to at the end and the returns that we get from each business. But that is exactly where bio and LNG sit and where it used to sit in the old frame, the old description in low carbon.
Murray Auchincloss: Gas and low carbon, yes.
Bernard Looney: Yes in gas and low carbon because LNG was there. We put all the resilient hydrocarbons together LNG gas and biogas in there, polysilicon.
Murray Auchincloss: Yes, so let's remember the model, we have on Lightsource BP. So we injected $200 million or $300 million into Lightsource BP, a few years ago, we don't inject capital after that. So it doesn't impact our capital frame, the point of Lightsource BP is to be a developer. So they're going to develop 25 gigawatts through the first half of the decade, that's the target they've set. And they're going to acquire land, get the permits, get the design done, get a power purchase agreement in place, get the debt in place, and then they plan to flip those molecules. So the capital construction associated with the poly silicate goes to whoever's buying it, mostly pension funds these days. So from our perspective, sitting inside BP and a shareholder of Lightsource BP and sitting inside Lightsource BP, they're not expending this capital on the solar panels themselves, that's for the purchasers to do. Instead, what we're trying to do is create this developer model that creates profit out of the flip and provides electron sources for Carol's trading business, if it makes sense, we kind of have the option to offtake that electrons into our portfolio. So that poly silicate inflation level has doesn't impact BP, so to speak, it's more impacting the consumer, Jason. We're not seeing anywhere near those levels of inflation in other spaces inside offshore wind, et cetera. But again, we're just inside the first bidding process with a supply chain really, this year, and Equinor as a lead partner and Empire 1 and 2 will report back to the market in due course, so I think, no real impact from the poly silicate because of the nature that we run Lightsource BP right now.
Bernard Looney: They're also looking, I think, in your old job with in procurement with developing long-term supply agreements, like we would have our long-term relationships like we would have in the old oil and gas business. So it's one of the things that I think we're working with them on to these frame agreements that we've traditionally used in oil and gas, to see if they can develop long-term relationships. Jason there so and some of these megawatts that we're flipping on at the moment look like they're not being impacted by inflation prices. They seem to be very attractive.
Murray Auchincloss: Lot of solar panels that they bought and a couple of deals a while back, that they're not having to pay the increased prices yet, but we're doing Lightsource BP is doing its first big flip as we speak. And it'll be interesting to see what comes out of that in the first half of the year. Interesting to see what the pricing is. Great, thanks, Jason.
Bernard Looney: We're encouraged. Great, Jason. Thank you. Let's go back to the room here. Let's go in front here. That's not somebody.
Martijn Rats: Hi, hello. It's Martijn Rats, Morgan Stanley. I've got two questions, if I may, about the oil and gas business. The first one relates to the long-term production targets that were initially set during BP week. And I do remember sort of a 20% to 25% decline by the middle of the decade and a 40% decline by the end of the decade, initially through disposals and then later through sort of runoff of the portfolio. But listening to your earlier I think I heard you say but I just wanted to check that you said that with the investment plan that is now in place, this could keep underlying production flat. So it sounds like more long-term, less near term and more disposal is not an underlying sort of decline of the portfolio. So I wanted to ask you, to what extent this guidance at least the targets on long-term production actually changed, if I sort of brought the sort of got this correct. And then the second thing relates to oil prices as in the interesting thing about the 2030 guidance is, of course, that you do get into that period where if you could conceivably start to think very differently about the oil markets. Now, I'm not asking you to speculate about oil prices by 2030…
Bernard Looney: It is higher or lower.
Martijn Rats: That is exactly, that is stuff of anything but it's not entirely unimportant. And it does signal that at least the underlying BP view, is that even by 2030, we will not be in a sharply declining oil demand environment, where prices are all down to the marginal cost of the lowest supplier. It does signal that you think by 2030 oil is still kind of sort of at least in terms of price businesses, it has historically been. Is that correct?
Bernard Looney: So I'll take the second question around pricing, Murray will take the volume question and help me if we got anything, right. So on oil prices, it's so we have updated our oil prices, as we do every year, we update them last year. And basically from our existing assumption, the near term prices drifted up a little bit. And the long-term prices drifted down a little bit such that on average, throughout the period, they were pretty much the same. Our oil price assumption for 2030 is $60 real based on the 2020 baseline, which is $71, which is roughly what it was in 2021. Now, the question, of course, that you ask is, well, what if the transition goes faster if it does this or that? What I think is interesting, Martijn, about the transition question is that an accelerating transition doesn't always lead to a lower oil price. It depends on investment patterns, not just demand. So you could argue, you could see a world where because of lack of investment, even though the energy transition is accelerating, oil prices are much, much higher, which is sort of counterintuitive to how some people would think about it. I think, because the kind of general sense is that accelerating transition means lower prices. That need not be the case, because as we know, it reply, it relies not just on a demand side of the equation, but also a supply side. And of course, what people sometimes forget is that oil fields decline, and therefore they will -- they need investment. So that's a long story short to say. The energy transition could actually result in higher prices, even if it's accelerating, as well as obviously result in lower prices. Our job on an annual basis is to put forward our best view, knowing that it's probably not right. I think I can say that, because that's true, probably not right. But it is our best estimate. And our best estimate is $60 real and we think that balances up all the things that we know about in the world. If oil prices are lower, our businesses resilient to that. We've taken out cost, we're at $6 per barrel production costs so. We've got the tightest highest margin portfolio that we can, and that $9 billion to $10 billion won't be 20% of overall EBITDA it will be 50% or something higher, and vice versa. So there's no simple answer to your question, I'm afraid, but that's how we would think about it. And then on the upstream volumes and underlying production flat.
Murray Auchincloss: Yes, no one in the SCA gives you each quarter our latest view on oil price, and we don't see the depth in oil price on the SCA until 2040. God knows if we're right, but that's our viewpoint right now. Production so the production guidance that we gave two years ago 2.6% down to 2% down to 1.5% with squiggles as estimates a decade out it's a little bit tricky a decade out. We were a little bit vague in what we said about divestments versus underlying decline. We didn't really give hard guidance. Ariel and the team have been with Gordon had been working. That's very hard now for the past couple years. Since we last talked to some transactions have changed and gold has become a very, very strong asset with the Eni transaction we did. Looks like a fabulous set of assets there. So we've had portfolio change. We've had drilling success. With -- we're applying -- we're digitizing our 10 core processes inside the upstream and refining and Gordon  and covering some pretty cool things that mean the reservoirs are going to perform better than we thought. And the technology, the capital efficiency of the business is going to be higher than we thought, last time around. So right now what we're getting to is we were at 2.6 in 2019. We're obviously around 2.2 in 2021. We still have this guidance of around 2 in 2025. And we still have this squiggle 1.5 in 2030. What we're now saying is that declined from 2.2 to 1.5. So basically going to be a gradual divestments over time, and that we can hold the base business flat now with growing margins 20% growth and at least 20% growth and margins as we bring on Mad Dog Phase 2, Tango, et cetera, et cetera. And we pivot the investment more to the Deepwater GoM of the world to the BPX of the world where the Permian is doing really well. So it's a pretty material update to our view on the hydrocarbons business. And it's a fabulous cashflow generator for us through the decade. And we're investing pretty much everything we can and every basin with the exception of one, which is BPX, which will continue to manage for a dividend.
Martijn Rats: Just follow-up very quickly that. So there's a half a million barrels a day of production the second half of the decade for zero incremental CapEx relative to previous guidance?
Murray Auchincloss: Through that, including divestment, et cetera. Yes.
Martijn Rats: Yes.
Murray Auchincloss: Well, we were a bit vague. We weren't very specific on what divestment was in the second half of the decade, Martijn. So a little bit tricky to suggest that we were just vague.
Bernard Looney: What we're not doing, we're not investing for growth. So we're receiving that capital. We're not exploring in new basins, all of those things remain as is. What we are doing is investing in high quality, investment opportunities and continuing to high grade the portfolio. So it will be smaller, in a volume sense. It will have equivalent cash flow, it'll have higher returns, it will have lower emissions. For us, it feels like a good way to run the business and the world needs it. And it will provide us with the cash flows.
Murray Auchincloss: And hopefully you're used to us. We generally don't make promises. We can't deliver, we tend to try to make sure that we can deliver these things. So it feels prudent right now.
Bernard Looney: It's throwing it out there. We keep going in the room. Go ahead.
Henry Tarr: Hi, it's Henry Tarr from Berenberg. Two questions, obviously, in the current environment, sharply higher commodity prices. Are you seeing risks of an increasing fiscal burden? So we're seeing headlines in the U.K. around windfall taxes. I wonder whether, post-COVID governments are looking for ways to refill the coffees to some extent. And then the second question on the balance sheet, obviously, the position there is improving. There's been a focus on divestments, as your own valuation starts to improve we've seen on the transition and low carbon side valuations there sort of come the other way over the last 12 months is. Are you starting to get more interested in acquisitions in some of that low carbon area? Thanks.
Bernard Looney: Great, Henry. Thank you. Quickly and Murray will correct me. Fiscal burden. Are we seeing anything around the world? The answer to that is simply no, we're not. We're not seeing increased pressure. At this point in time. Obviously, there's a debate in the U.K. about a windfall tax. We obviously have said what we feel this morning about that, which is, if anything, the U.K. needs more gas, not less gas right now. And that's going to require more investment, not less investment, and a windfall tax isn't probably going to incentivize more investment. Number one, and number two, what we need to do is help Britain transition. And we also announced this morning, that for every pound we make in the U.K., this decade, we will invest more than two pounds into the U.K. this decade. And the vast majority of that investment will be into the energy transition. Offshore wind in Scotland, offshore wind in the Irish Sea, hydrogen power, hydrogen, Teesside, net zero Teesside for power, our refueling, our charging network that will build out the list goes on and on. So that's our position here in the U.K. fiscal burden upping around the world. No, we're not. We're not seeing that. Murray second question do you want to take it?
Murray Auchincloss: I think the second question was, do we have more appetite for inorganic. So I suppose that we will look at inorganics. Obviously, but we'll stick to our $14 billion to $15 billion capital range for 2022. That includes inorganics. And the longer-term that we've laid out a $14 billion to $16 billion includes inorganics, as well. You'll see us do $250 million, $500 million deals where we think it's sensible. Biogas is interesting places to do it. Amply charging is an interesting place to do it, et cetera. So we'll do modest. We'll be pursuing modest things Henry.
Bernard Looney: One of the slides in Murray's back is so very important, because I think one of the -- let's be transparent about it. The challenges that some people have had with the strategy has been around the renewable space where the returns are guided at 8% to 10%. And we're talking about $2 billion to $3 billion of EBITDA there by 2030. In a business that could be generating over $40 billion of EBITDA. So that has been a question. And that's why this disclosure this morning around these five transition growth engines are so important, because it is not just a renewables strategy, as some commentators have maybe written it to be. It's much more than that. First of all, it's a three part strategy of which low carbon is one. But importantly, in the transition, we talked about five growth engines. And $2 billion to $3 billion from renewables at 8% to 10% is one of five elements in that transition. And all the other ones have higher, much higher returns. So it is an element of, but not the totality of BP's transition story. Bio energy is very important. EV charging is going to be a big business for us. Hydrogen is going to be a business. And we've talked about convenience. So I think that is a very important message that we want to learn today. Henry, thank you. We keep going. Irene, please up front here.
Irene Himona: Thank you. It's Irene Himona from Societe Generale. You gave us a lot of visibility -- financial visibility on the transition. My question concerns the announcement that you aim for net zero across operations, production and sales. So I'm, I think you're adding the sales bit, I wonder if you can help us understand where scope three fits in there. Is there any change to the previous definition of scope three from your production only? And do we assume that the interim targets remain the same except they now include sales? Thank you.
Bernard Looney: Very good, great. Irene, thank you. So on -- so aim two is production, our definition of scope three. Aim three is product lifecycle, product lifecycle emissions, and most people will call that scope three. So we cover product emissions in two places in our aim two, which is our production and in aim three, which is around our sales, and the total sales in aim three, used to just have our marketed volumes in there. But it's now also got our physically traded volumes in there as well, with the exception of crude, which is not something that is immediately turned into an emission, it has to go somewhere before it happens. So we're consistent with other some other companies on that. And that means that our baseline on aim three increases from about a giga ton to about 2 giga tons when we include those physically traded volumes. So scope, aim two is unchanged, that is still our plan. Aim three, three, three updates, it used to be 15% by 2030. It's now 15% to 20% by 2030. It used to be 50% reduction in intensity by 2050. It's now 100%, or it's now net zero by 2050. And the third change is that it is now total sales on all of those measures I just gave you on aim three, and not just marketed. And that's what we're doing. Aim one has also changed in that we have accelerated to 2030 ambition, which used to be 35%, 30% to 35%. We've been updated that to 50% from our operational emissions. So that's aim one is operations. Aim two is production. Aim three is sales our marketed products. So hopefully that helps. Thank you, Irene. We'll go to Os Clint here.
Os Clint: Yes, sorry. Os Clint from Bernstein. Two questions. First, one of your peers over in the U.S. I think last week talked about collapsing the structure in the silos to bring out the best of the organization. So something I think you said years ago, bringing downstream management from the basement up to the sixth floor and working together and things like that. So you mentioned the 26 turnarounds, working together last year, but I'd love to get some more examples of what the best of the organization has come out through BP. Maybe numerically or cost saving structurally avoid them improvement structurally, will be the first question? And secondly, back on renewables and confident message again on 8% to 10% returns. I noticed though, in Lightsource, they do deals like last year one in Spain. They talk about commercial close pretty quickly eight months, but one of the ways to get there is with a PPA and a competitive process with BP trading. So there's a good price coming from here to Lightsource allows you to be confident there. But is there anything value leakage as Carol's team take that the other side, and how can we be confident there's a strong return coming the other side?
Bernard Looney: Great, Os well Murray be thinking of the second one and help me with the first one. I think and we can talk to Gordon afterwards on some of the examples. But the up-streamers tend to be a pretty proud bunch, but the refineries, people have been helping them out as we brought these organizations together. So it's not a specific cost number. But we had challenges in Egypt, around flange integrity on one of our projects. And we deployed some refining people who were experts in that space to go and sort the issue for us. We also had a situation in Trinidad on a project that we were building, where we had some compressor issues or something. And again, refining technology people were deployed into the oil and gas business to help that. Now, you would argue that should be happening in any company, but there is a reality of organizational boundaries, and so on, and so forth. So I personally and the turnaround one is a brilliant example. We're going to see more and more of that, I'd be lying to you, if I said that everything was working exactly as it wants, we want it to be on day one, it takes time for an organization to settle down, people to get to know their new roles. There's been a lot of change, and we're settling down now. And that's what the focus is on this deliver. So only one job now deliver. And I think we're going to go and see more and more opportunities as the year goes ahead. You've also got next to you who used to, in her well, still does, I guess are about to change, runs our global supply chain organization. And it's something we debated for years, we used to have an upstream supply chain organization and the downstream one. And we brought them together a few years back. And again, I think I've actually personally been surprised at the value that's been created through that process. So, one of the questions we're encouraging people to ask inside the company this year, is a very simple question, which again is obvious. But we need to do more of which is, whenever faced with a problem, whenever faced with a question, the one question we must always ask, what's the right thing for BP? What's the right thing for BP? And maybe that's a lead in to the second question about integration. But more and more examples to come as the organization now settles down, Murray?
Murray Auchincloss: Yes, I think some stats on collapsing, there were maintenance contracts that the downstream had cheaper rates than the upstream had 25% savings when you brought the contractor.
Bernard Looney: Thought we were low cost.
Murray Auchincloss: In the upstream, yes. When you bring that together, you get 25% savings, because the upstream was paying more than the downstream. That's a small example of what we've seen in the procurement space over time. The part that I'm super pumped about is we've under invested in digital and the downstream, and history, we just haven't had that focus and the passion that Bernard and I had, we spent five years streamlining to one financial system inside the upstream enables us to now deep dive in task mind and knock 30% to 40% efficiency or dis-efficiency out of the upstream, we'll have a five year program to go invest in the downstream now, synthesizing the back office getting onto a single system, put task money on top of it, that prize is going to be big as we get into it. It's something that we definitely haven't done. So there's just a tremendous, tremendous prize to bring together -- to bring together the best of what downstream did which was real rigor and process safety and cost discipline with the technology from the upstream and great fabulous results. So that's enough of me on my diatribe on technology. And then on trading and shipping. That question made me smile as Carol's traders aren't going to allow her to do a deal that she loses money on. They're just not incentivized that way, et cetera. So if you see a transaction between trading and shipping and Lightsource BP, you can know that it was a competitive process, and that the traders feel they're getting a good deal. There's a reason that trading and shipping does a 2% uplift of returns and it's from the competitive edge that they have a fuller and scale of their business. So rest assured it was a good deal.
Bernard Looney: We've got a few minutes left, thanks Os and we'll see Christyan Malek is on Zoom.
Christyan Malek: Thanks for taking my question.
Bernard Looney: Hi, Christyan.
Christyan Malek: Hi, thanks for taking my question. And sorry I couldn't be there in person, I am nursing a bad stomach. But first of all, I'm going to say well done on today's results and delivering what you promised two questions for me. And the first one, while I look at your EBITDA targets from 2025 onwards, I can't have Murray that trends we've seen when inflation supply chain issues, rising interest rates will negate the returns that you plan to make both in oil and gas and renewables in the former. I'm having a hard time squaring a decline in volumes or with a sustained EBITDA and cost inflation -- if cost inflation and execution starts to become problematic. So can you just help us frame what are your base case assumptions around some of these headwinds, so that we know these returns have been appropriately risked. And the second is a bit more philosophically relates to the energy crisis we're in. I guess, on one hand, we've seen improvement in revenue coming from higher energy prices, it seems to have a negative impact vis-à-vis rising customer costs and geopolitical societal risks. So my question faces on two elephants in the room first on Russia, and how you see the long-term relationship evolving your dividends versus the risk of geopolitics. And then second, on the higher economic rent, which feels like a real threat, if society becomes frustrated from the energy transition becoming too costly for the consumer. Thank you.
Bernard Looney: Thanks, Christyan. I'll take the second question. And I'll let Murray take the first one. On Russia, look one of the things I've learned in my life, you've probably all learned in your life is let's not worry about things until they happen and who knows what's going to happen. Russia is a big part of the energy system globally. It's a member of OPEC +, it supplies gas and energy into Europe. We along with many of our peers have a presence in Russia. We've been there for over 30 years. And our job is to focus on the business, our business, which is what we're doing, there are no changes to our ongoing business in Russia today. And if something comes down the road, then obviously we'll deal with it as it comes down the road. So that's all I would say, on Russia. On rent, I think it's a great question, Christyan and it's one that's on our mind. And I'm sure it's on government's minds. And I think the real concern is that if the consumer or if society equates higher costs with the transition, then that will in effect, have the potential risk of slowing down that transition that society so desperately wants. So that is why I think we feel very passionately about the need for real plans in this space such that we don't just tackle one side of the equation, but that all sides of the equation are tackled, because if we don't tackle demand as well as supply, if we don't think about what's going to replace hydrocarbons, or what are we going to do with hydrocarbons then I think we end up in a situation potentially, where the consumer is effectively put off the transmission because of the cost. And I think that would be a real shame and not something that we want to happen. So that's what we're trying to do everything that we can to be able to prove that you can get clean, reliable, affordable energy. But it takes some compromise. And that's the reality. So, two great questions, Murray and we'll begin to wrap I think on inflation.
Murray Auchincloss: Yes, great. So for the past two decades, Christyan, we've planned on CPI, and then the business has to beat that inflation. That's what we've done for the past two decades, we've been through many price cycles through those two decades, and we've been able to achieve it. Looking forward, we plan on CPI inflation, and then the business has to tackle it, and has to eat that inflation. And interestingly, I think if we talk to you in Oman, or in Baku, we'd have said, we see 30% to 40% waste in the business, I still see 30% to 40% waste in the business, there's still just tremendous opportunity in this sector to do better, and the new sectors we're operating in, it's the exact same. So I think our job as a business is to eat that inflation. Why do I say that because the price could be low at any moment. We can't let costs creep into our business, because we don't control the commodity price. So yes, we do plan on inflation. Yes, we do eat it, we've got two decades of track record of doing it. And I remain convinced that there's huge prize to get after that will help us tackle it over the next decade as well, Christyan. So I think on balance, our plans are just fine. 
Bernard Looney: And I'll give you an example. I've been spent most of my career in drilling, we've had a massive focus on non-productive time, for every time, every day I spent in drilling. And yet we brought it down 20% over the last two years. Our last year, we brought it down 20%. There's always room to go. There's always more to do. And that's why agile digital supply chain efficiencies, where there's massive opportunity, as Murray says, last question on the phone for those of you in the room where you can catch us afterwards, Paul Cheng at Scotiabank and then we'll wrap, Paul, you can make it quick please.
Paul Cheng: Thank you. Two questions, one for hydrogen business, can you talk about what's the risk to achieve your target? I mean, based yes the plan going to be driven by some form of improvement in the economical technology that we see or that the existing technology as well as the existing government support will be sufficient for that business? That's the first question, the second question is that when we are looking at your biofuel business, with the feedstock costs have been rising because of that, and also that we see a substantial margin squeeze, how that may impact your investment plan in the future or I mean, that you think that this just transitionary and you don't believe that it's going to have any long-term indication?
Bernard Looney: Fantastic, Murray will take the biofuels question, Paul. On hydrogen, ultimately, it's a cost question, isn't it? How do we get the cost of hydrogen of blue, green hydrogen to a different place so that it is truly competitive, it's going to require a mixture of things, it will require policy support, it will require initially customers willing to pay a little bit of a premium probably, it doesn't really require much on the technology side, other than it does require scale to be built so that we can get repeatability. I'm personally optimistic that we will see all of that, I think the policy support, we see it here in Britain, as we're trying to build a hydrogen, a green Anna blue hydrogen plant up at site. I think we will get the support that we need. Customers are crying out for this. They're all under pressure to decarbonize their portfolios, they're trying to figure out how to do it, they're coming to us all the time trying to ask and some are willing to pay a little bit. So let's see where that goes. And the scale will come. So this is a business where we have, it's like anything at the beginning. It's a bit of an effort, but that's what we need to do. If the world's going to decarbonize, it's hard to abate sectors, hydro, which it must, hydrogen will be a part of it. It's a necessary part of that. And that will happen. And we're beginning to see the early stages of why we should be optimistic about that. And we'll have come later in the year and dive into this in greater detail, biofuels and costs and stuff and then we'll wrap up.
Murray Auchincloss: Yes, I think on biogas the key is you need to be along the entire value chain. So you need to take positions upstream midstream, downstream, and that's what we do. It's hard to predict where the rent will be. It does move much like it has an oil value chains and gas value chains in history. So from our perspective, we just make sure we're all along the value chain and that way we don't face risk on the rent. So you will take us see us take some equity positions in the upstream, you'll see us do an awful lot of long-term contracts both near-term and long-term to manage the risk. And then Carol will optimize and trade around it across biofuels, biogas, et cetera. So playing along the whole value chain is what's critical on biogas. We've got 35 flowing units, it's a lovely phrase flowing in it's, we have 35 of them in 2,500 construction. So we've got 60 out of the 220 that we're talking about already there. They're all under long-term commitments, a decade or so. So pretty cool business makes great money.
Bernard Looney: And we'll look at expanding with our rail network in Germany, elsewhere in Europe, and we may go upstream in Europe as well in this space, so very exciting. Excellent, thank you all. Sorry, we've run a few minutes over. For those of you in the room that we didn't get to, we'll be mingling around and happy to have a chat at least for a few minutes. Big thanks to Craig, and his team for the enormous amount of work that went into that. Getting ready for today, Giulia, you and your teams and strategy, huge amount of work gone in right across all the organization. Thank you for being here in-person, thank you for those of you who have listened in online, hope it was helpful. Great to see you all back in-person here in London and appreciate the interest and we will leave you all to it, thanks.